Operator: Greetings and welcome to the Range Resources year end earnings 2007 conference call. Statements contained in this conference call that are not historical facts are forward-looking statements. Such statements are subject to risks and uncertainties which could cause actual results to differ materially from those in the forward-looking statements. After the speakers’ remarks, there will be a question-and-answer period. At this time, I would like to turn the call over to Mr. Rodney Waller, Senior Vice President of Range Resources.
Rodney L. Waller: Thank you operator and good afternoon and welcome. Range reported results for the fourth quarter and 2007 year with record production, revenues, cash flow, and earnings. 2007 marks our fifth consecutive year of sequential production growth with now 20 consecutive quarters of sequential production growth. On the call with me today are John Pinkerton, President and Chief Executive Officer; Jeff Ventura, Executive Vice President, Chief Operating Officer; and Roger Manny, Senior Vice President and Chief Financial Officer. We’ve posted on our website supplemental tables to assist you in understanding many of the numbers in the press release. In the press release, we furnished some non-GAAP statements which allow you to compare our results to our historically reported numbers, including the Gulf of Mexico operations that we sold earlier in the year. In table five of the supplemental tables, we have presented a summary of the reported numbers, which are comparable to the analyst models, taking out the non-cash items. Before turning the call over to John, I would like to cover a few administrative items. First, we did file our 10-K with the SEC this morning. It’s available on the home page of our website or you can access it using the SEC’s EDGAR system. In addition, we’ve posted on our website supplemental tables which will guide you in the calculation of the non-GAAP measures of cash flow, EBITDAX, cash margins and the reconciliation of our non-GAAP earnings to reported earnings that are discussed on the call today. Tables are also posted on the website that will give you detailed information of our current hedge position by quarter. Second, we are participating in several conferences in the next month. Check our website for a complete listing. We will be at the Raymond James conference next week in Orlando on March 3 and 4; at the Simmons Energy Conference in Las Vegas on March 4 and 5; the Lehman High Yield Conference on March the 12; Bank of America Small and Mid-Cap Conference in Boston on March the 26, and the Bernstein conference in New York on March the 31. Now let me turn it over to John.
John H. Pinkerton: Thanks Rodney. Before Roger reviews the financial results, I’ll review some of the key accomplishments for 2007. Overall, as Rodney mentioned, we’re very pleased with our results. On the production side, production rose 17% in the fourth quarter and also 17% for the entire year. That’s slightly ahead of our 15% target at the beginning of the year, so we’re pleased with that. In terms of year end reserves, the reserves rose 27% to 2.2 Tcfe of proved reserves. This represents a reserve replacement from all sources of 537%. Most importantly, the reserve growth was accomplished at an all-in finding cost of $1.82 per mcfe. On the drill bit side, including acreage, the drill bit cost came in at $1.79. Based on at least what we’ve seen today, this looks to be in the top 10% of our peer group and these finding cost numbers are a few pennies lower than what we’d previously reported as some of the final cost numbers came in slightly lower. In terms of the drilling program, we’re continuing to generate very attractive returns. And we continue to be very pleased with the results. This is evidenced by the drill bit replacement of 424% for 2007, and which is clearly the highest in our company’s history. When you look at it, we combined exceptional growth in production and reserves with low finding and development costs. Actually the hard part of our business is combining high growth with low cost. And this performance is, I think, directly related to the operating and the technical teams that quite frankly deserve all the credit. As Rodney mentioned, we’re pleased that we continue to deliver predictable transparent production growth. We’ve now expanded our sequential production growth streak to 20 consecutive quarters. This consistency is really attributable to the long life nature of our reserves, our large inventory at low risk drilling opportunities, and an organization focused on delivering. At year end, our drilling inventory had risen to 11,000 drilling locations. For 2008, we plan to drill nearly 1,000 wells, and anticipate to deliver another year of double-digit production growth. Recently, we set our 2008 production growth target at 15%. And it should be noted that the 15% target takes into account asset sales we currently have planned for 2008. In 2007, we completed roughly $237 million of asset sales including all of our Gulf of Mexico properties. We believe periodically selling our more mature properties has several benefits. First, it helps to focus us on higher growth opportunities. Second, it provides additional capital to spend on high return activities. And third, it helps to high grade our overall property base. We plan to continue to sell non-core properties from time to time. Already in 2008, we’ve completed one sale for $64 million. Lastly, due to the rising production and strong commodity prices, we’re extremely well positioned for 2008. And again, we expect another year of record results, assuming we execute our plan. With that, why don’t I go ahead and turn it over to Roger to get into more of the details in terms of the financial results.
Roger S. Manny: Thank you, John. Just as our 2007 operating performance led to our record 2007 financial results, our 2007 financial results helped set the stage for our 2008 operating accomplishments, and hopefully another record year in 2008. In reviewing 2007, some of the key financial highlights include the divestiture of the non-strategic Austin Chalk properties acquired in the Stroud acquisition for $80 million and the sale of our offshore Gulf of Mexico properties for $155 million. These attractive sales helped fund our successful drilling and acquisition activity, manage our cost structure, and high grade our asset base. On the capital markets front, we issued $280 million of common equity in April of 2007 to help fund the Nora field acquisition and we issued $250 million of 7.5% senior subordinated notes in October of 2007. To reduce our reliance upon short-term bank debt and to further enhance our liquidity, we increased our bank credit facility borrowing base to $1.5 billion and extended the maturity date to October of 2012. We ended the year with a debt-to-cap ratio of 40%, our lowest year-end leverage ratio in over 10 years. Along the way, we picked up two rating agency upgrades and to top the year off in December, Range was selected for inclusion into the S&P 500 Index. Looking closer at the numbers, revenue, cash flow and EBITDAX, all reached record highs in 2007. Total revenue of $862 million was up 16% from last year. Cash flow of $674 million was 44% higher than last year and cash flow per share for the year totaled $4.49. EBITDAX of $749 million was 43% higher than 2006. Net income for the year was $231 million, 45% higher than last year. Adjusting earnings as analysts do for non-cash mark-to-market hedging entries and other non-cash comp expense items, result to net income from continuing operations of $243 million, 63% higher than the like adjusted 2006 figure. Per share of 2007 diluted earnings, calculated as analysts do, was $1.69 per share compared to the analysts consensus estimate of $1.68. Looking at the fourth quarter, 4Q 2007 brought new quarterly highs for oil and gas sales of $240 million, record cash flow of $190 million, and record quarterly EBITDAX of $211 million. Cash flow and EBITDAX for the quarter were 64% and 59% higher than the fourth quarter of last year respectively. Cash flow per share for the quarter was $1.24, compared to an analyst consensus estimate of $1.17. Thanks to higher oil and gas prices and total cash cost per mcfe that were flat with the fourth quarter of last year, fourth quarter cash margins improved by 41% from $4.24 per mcfe last year to $5.98 per mcfe this year. These quarterly and annual record results may be attributed to really the same factors that have been present at Range for over five years. Those are steadily increasing quarterly production volumes, paired with improved prices and margins. Quarterly earnings, calculated as analysts do, were $61 million, or $0.40 per fully diluted share, compared to the analyst consensus estimate of $0.45. The quarterly earnings results include one-time unproved acreage related impairments totaling $6.4 million that were taken to DD&A expense. I’ll speak more about DD&A in a minute, but the incremental non-cash DD&A expense explains why we exceeded the analyst consensus fourth quarter cash flow estimate, but not the consensus earnings estimate. As always, listeners are encouraged to visit the Range Resources website as Rodney mentioned for a full reconciliation of all non-GAAP measures. Fourth quarter cash direct operating costs came in at $0.95 per mcfe, $0.04 higher than the $0.91 posted in the fourth quarter of 2006. For the full year of 2007, cash direct op costs were $0.92 per mcfe, $0.08 higher than the 2006 figure of $0.84. This is due to higher work over expense, higher salt water disposal costs and well service expenses. Fourth quarter production taxes were down from $0.33 per mcfe in 2006 to $0.30 per mcfe in 2007. This partially offset the increase in cash operating costs per mcfe. Production taxes for all of 2007 were $0.36 per mcfe, down $0.02 from the 2006 figure of $0.38. Much of our Barnett Shale gas production qualifies for the Texas tight gas severance tax abatement program and Texas ad valorem taxes have actually declined slightly due the new Texas margin tax. So as our Barnett volumes have increased, these production tax benefits are becoming more apparent in our P&L. Direct cash operating costs in the mid-to-high $0.90 per mcfe range is expected in 2008. General and administrative expense adjusted for non-cash stock comp expense was $0.42 per mcfe in the fourth quarter of 2007. This is down slightly from the $0.44 figure in the third quarter of this year, but up $0.05 from the fourth quarter of 2006. On a year-over-year basis, cash G&A expense increased from $0.37 per mcfe in 2006 to $0.43 in 2007. And the bulk of the increase in 2007 G&A expense over the prior year is attributed to the staffing up of our operating teams based in Pittsburgh, Pennsylvania and Abington, Virginia. We expect cash G&A expense to hover around the mid $0.40 range in 2008, depending of course on the rate of hiring and production increases we’re seeing out of our emerging play areas. Listeners will recall my quarterly explanations of the non-cash deferred compensation plan expense line from our income statement. Now, this non-cash expense relates to the mark-to-market gain or loss on Range’s stock and marketable securities, belonging to our employees held in the deferred comp plan, but fully consolidated into Range’s financial statements as required by the accounting rules. And during the fourth quarter of 2007, it was determined that our quarterly mark-to-market adjustment should only apply to shares that are vested. And the result of this determination is a favorable adjustment, which essentially eliminated the non-cash deferred comp expense for the fourth quarter. For the full year of 2007, however, because of the 87% increase in the Range’s stock price, non-cash deferred comp plan expense was $28.3 million, compared to $6.9 million in expense for 2006. The news release and Form 10-K contains various expense tables providing a detailed breakout of all these cash and non-cash expense items. Interest expense for the fourth quarter was $0.68 per mcfe and that was level with the fourth quarter of 2006. Interest expense per mcfe for the full year of 2007 was $0.67, $0.09 higher than the full year 2006, due to higher debt levels and higher interest rates as we refinanced $250 million of our short-term bank debt with 10 years fixed rate notes. Exploration expense for the fourth quarter of 2007, excluding non-cash comp expense was $12.8 million, $2.8 million over the fourth quarter of last year, mainly due to higher seismic expense and dry hole costs. The exploration expense for all of 2007, excluding non-cash comp expense was $39.9 million, $1.1 million less than 2006 due to lower full year seismic expenses. Now predicting exploration expense, especially this early in the year is difficult, but based on our 2008 capital budget we’re anticipating quarterly exploration expense including non-cash comp to average approximately $18 million, and with the first quarter of 2008 coming in likely slightly higher due to the timing of seismic purchases. Depletion, depreciation and amortization per mcfe for all of 2007 came in at $1.95 compared to $1.62 in 2006. Now, the DD&A rate for the fourth quarter of 2007 was $2.26 per mcfe. As I mentioned previously, fourth quarter 2007 DD&A included $6.4 million or $0.21 per mcfe of one-time acreage impairments. The fourth quarter of each year also includes resetting of our DD&A rate based upon the new year-end reserve report. Now, based on this year’s reset, our DD&A rate per mcf going forward into 2008 is expected to be $2.10. This $2.10 figure includes $1.90 per mcfe for depletion and $0.20 per mcfe for depreciation and amortization of our other assets. The 2007 story on income taxes is very similar to prior years. While Range pays in excess of $40 million per year in cash, production and ad valorem taxes to dozens of states, municipalities and school districts where we operate, because Range consistently reinvests at least 100% of its cash flow in finding and developing new oil and gas reserves, we’re able to defer most of our current year federal income tax expense into the future. In 2007, Range incurred $320,000 in cash, state and local income taxes and we hold a $204 million net operating loss carry-forward. Our effective tax rate for 2007 was 37%. Our hedging activity in the fourth quarter of 2007 was much like the third quarter, as we continued to layer in additional hedge volumes for 2009. 2008 is largely taken care of, with hedges in place on 77% of our estimated gas production, at an average floor gas price of $8.67 per Mmbtu. For 2009, we’re up to approximately 64% of our gas volumes hedged at an average gas price floor of $8.29 per Mmbtu. Those wishing to obtain specific price and volume information as Rodney mentioned can find it on the Range website. Other than the previously mentioned October 2007 refinancing of some of our bank debt with ten year notes, and the usual price driven fluctuations in the value of our commodity hedges, the Balance Sheet remained relatively unchanged from the end of the third quarter. Bank debt at year-end was $304 million with $596 million available under the $900 million committed portion of our bank credit facility. So in summary, we posted record revenue, production and cash flow, with a stronger, more liquid Balance Sheet at the end of the year than at the start. We fought hard to contain costs and believe that our 2007 all-in unit cost structure will again be in the top quartile of our peers. We continue to high grade the asset base, which will simplify our operations and allow greater focus going forward on emerging plays. These 2007 results allow us to enter 2008 on a solid financial footing. There’s nothing we need to fix that is broken or that’s holding us back. All of our attention will be focused on generating value for the shareholders and I’m anticipating another record year in 2008. With that, I’ll turn it back to John.
John H. Pinkerton: Thanks, Roger. I’ll now turn the call over to Jeff to review our operations and our drilling results.
Jeff L. Ventura: Thanks, John. I’ll begin by reviewing production. For the fourth quarter, production averaged 343 million per day, a 17% increase over the fourth quarter of 2006 and a 5% increase over the third quarter of 2007. This represents the highest quarterly production rate in the company’s history and the twentieth consecutive quarter of sequential production growth. For all of 2007, we achieved 17% production growth. Let’s now review three of our key projects. First I’ll start with the Barnett Shale in the Fort Worth Basin. We closed on the acquisition of the properties this quarter and we’re off to a great start. The first two wells that we completed came online at gross rates of 8.9 and 8.3 million cubic feet per day, which are outstanding. These two wells are located in southeastern Tarrant County. We have three more locations directly offsetting these wells. Currently, we have six rigs running in the Barnett and are continuing to drive up production. Net production is currently 98 million per day, which is a threefold increase over last year. The fact that we have been able to significantly increase our production by only running five or six rigs speaks to both the quality of our team and our acreage. In total we now have 103,000 net acres in the Barnett Shale. Our net un-booked potential on this acreage is 2.8 Bcfe, which by itself could more than double the company’s proved reserves. Another very impactful low risk project for us is in our Nora area located in Virginia in the Appalachian Basin. This is another project that has the potential to double Range’s reserves. There is significant upside to all three horizons in Nora, coal bed methane, tight gas sands, and the Huron Shale. Range continues to drill successful CBM and tight gas sand wells in the field. Production has grown from approximately 30 million a day a year ago to about 50 million per day today. Drilling in the CBM and tight gas sand continues to ramp up. 285 CBM and 50 tight gas sand wells are planned for 2008. Finding and development costs net to Range continue to be less than $1 per Mcf, which is amongst the best in the country. In addition, these wells produce very little water and have low lift cost. Given its location in the Appalachian Basin, these wells get a premium to NYMEX so the combination of the great gas price, low FNV and low LOE results in a very good rate of return for these wells. Given the large number of wells to be drilled on current spacing and with successful down spacing, there are approximately 6,000 wells left to drill. The latest development in Nora is horizontal drilling in the Huron shale. Our first well which was completed in the fourth quarter came online at a mutual rate of 1.1 million per day. It cost about $1.2 million to drill and complete and although it’s very early, initial reserve estimates are about 1 Bcf. Given our working in net revenue interest and remembering that Range owns the minerals, our net FNV cost is about $1.07 per Mcf. This year we’ll be drilling 10 horizontal delineation wells across the 250,00 acre Nora block. We know that the Huron shale has good thickness and good gas content across the 250,000 acres because there are 90 existing vertical Huron shale wells on this acreage. The purpose of the 10 horizontal delineation wells is to verify that horizontal drilling works and is an effective way to economically develop these reserves. If successful, it will de-risk about 1.5 Tcf net to Range by year end. Another high impact opportunity for Range is our Marcellus Shale plain in the northern part of the Appalachian Basin. This project represents the opportunity to add 10 to 15 Tcf net to Range. The 10 to 15 Tcf is the net reserve potential in Range’s 650,000 net acres that we have acquired to date in this play. The 650,000 acres is a high graded estimate of our Marcellus acreage based on our current knowledge in the play. Range actually owns approximately 1.1 million acres in the total Marcellus Shale play area. We have 921,000 net acres in Pennsylvania and 152,000 net acres in West Virginia. To date, we’ve drilled and completed 63 vertical and 12 horizontal Marcellus Shale wells and have an additional six verticals and three horizontals waiting on completion. We have recently announced our last three horizontal completions, which came online at rates of 3.3, 4.0 and 4.7 million per day. Range was the first company to apply modern drilling and completion techniques to the Marcellus Shale and kicked off the modern exploration and development of this play in 2004. We are currently way ahead of the pack in terms of the total number of wells drilled. We were in the first company to achieve rates in excess of a million per day on vertical wells and the first company to achieve success with horizontal drilling with several wells now on the three to close to five million per day range. Our current focus is to begin development of one of our core areas, continue to delineate our acreage and aggressively add to our lease hold in select areas. We currently are three rigs running and are targeting 60 wells this year. 2008 will primarily be a year of delineation, acreage acquisition and building infrastructure. Significant volume growth will occur in 2009 and beyond. As I’ve mentioned many times before, Range is in five shale plays. Our strategy is to be leaders in the Appalachian Devonian Shale plays and the Fort Worth Basin Barnett Shale play and followers in the other three plays, which are the Permian Basin Barnett play, the Floyd Shale in the Black Warrior Basin and the Woodford Shale in the Ardmore Basin. Let me quickly update you on the three plays in which we’re followers. In the Floyd Shale play Range has 50,000 acres in Alabama. We drilled one vertical well there last year. We tested the Chattanooga Shale section and it was disappointing.  The well was abandoned without testing the Floyd Shale. It was written off in the fourth quarter as a dry hole. Range does not have any drilling plan in the play for 2008. We have eight to 10 years left on our leases and we’ll be watching the activity of others. Early on, Range acquired an interest in 20,000 acres in the Permian Basin Barnett Shale play. Our focus however has been on the Fusselman. We have identified good looking leads in the Fusselman based on 2-D data coupled with subsurface geology. This was followed up with 3-D seismic which was shot last year and validated the leads. We also saw Wolfcamp potential in the 3-D and have secondary targets in the Barnett and Woodford Shales in the Delaware section. Range spud its first well about two weeks ago. TD for this well is 14,000 feet and testing should occur in the second quarter. The third play is our Woodford acreage in the Ardmore Basin. We have recently drilled and completed two horizontal wells. Initial wells are encouraging however and only have 16,000 acres in the play and will not be accumulating significantly more acreage. We have many other high quality exciting projects, which I’ll be glad to talk about during the Q&A. But to summarize, Range is in a great position. We have approved reserve base of 2.2 Tcf and on top of that we’ve identified an upside of between 16 to 22 Tcf, primarily in low-risk, coal bed methane, shale gas and tight gas sand plays. We have a track record of converting that to value for our shareholders. Range is where we want it to be: a low cost producer with a lot of low risk growth built in with great hedges in place. In summary, we’re in a terrific position to continue to build shareholder value on into the future. Back to you, John.
John H. Pinkerton: Thanks, Jeff. Now let’s take a look at 2008. Based on what Jeff said, we obviously expect to see continued strong operating performance. As I mentioned previously, we’ve targeted 15% production growth for full year 2008. For the first quarter of 2008, we’re looking for production to come in at approximately 355 million a day. That represents a 16% increase year-over-year if we can achieve that. First quarter 2008 revenues are expected to continue to rise due to higher production and stronger realized prices. So based on current futures prices, our realized prices should move up nicely in 2008. Assuming the futures prices in place and the hedges that we’ve got on currently, we anticipate first quarter 2008 price realizations to be in the $8.80 per mcfe range. This is 6% higher than first quarter 2007 and similarly 6% higher than fourth quarter of 2007. In our view, the first quarter of 2008 year-over-year comparisons will be important and that could bring together in a very tangible fashion all that has been accomplished over the past 12 months. I’ll start with production which as I previously mentioned is anticipated to increase approximately 16%. Second, realized prices are to increase by about $0.50 or slightly more than $0.50 per annum versus the fourth quarter of 2007 and also the first quarter of 2007. As a result, oil and gas revenues are projected to be in $290 million range for the first quarter of 2008, representing the highest quarterly revenue in our history. Turning to cash flow, we expect for the first time in our history that quarterly cash flow in the first quarter of 2008 will top $200 million. So that will be a really nice event. Hopefully we can get there. Looking beyond the first quarter, again, we expect production increase towards our full year target of 15%. Depending on the timing of asset sales, quarterly production will likely be a bit more choppy than usual, but still we feel very comfortable with the 15% target for the year. Based on our current futures prices, we anticipate 2008 cash flow from operations will increase by more than 20% over 2007. So as you can see, 2008 shapes up to be a very profitable year for Range and its shareholders. While we accomplished a lot in 2007, I believe the majority of our efforts will benefit 2008 and beyond. As you heard from Jeff, we now have projects in our drilling inventory and emerging plays that have 16 to 22 Tcf of net unrisked reserve potential. This equates to 7 to 10 times our existing proven reserves. For example, we are now starting to see the upside of the Nora field that we at least internally had seen for a number of years. Besides the bread and butter CBM drilling, we’re now accelerating the tight gas and the shale gas potential on this 300,000 acre field. In the Barnett, we now have over 100,000 high quality of net acres of leasehold and 2.8 Tcf of unbooked reserve potential.  In the Texas Panhandle and western Oklahoma, we’ve identified roughly 200 Bcf of upside in the Granite Wash. And then lastly the Marcellus play in Appalachia, we’ve really made enormous progress over the last 12 months. From our first well in 2004 that came on production at roughly 800 a day to today where our last eight horizontal wells achieved initial production rates ranging from 3.2 to 4.7 million a day, we’ve made significant headway. We’ve high graded our acreage position that now totals 650,000 net acres and we really put in place a very high quality team of professionals that work exclusively on this exciting play. In 2008, we’re focused on taking the Marcellus play to the next level. We plan to drill 60 wells in 2008 including 40 horizontals and we’re working diligently on the infrastructure issues and hope to see visible progress in the second half of the year. Lastly, we continue aggressively further delineate and spend our acreage position in the play. And obviously, we are excited about the play and the potential but I think the key is to stay grounded and to continue to make it happen every day, every week, and every month. And our team’s really doing a great job at that. While there is considerable information that we’re holding confidential to protect Range and its shareholders’ interest in this play, the potential is obviously extraordinary for a company of our size. While all of us have talked a lot about growth, we’re still focused on increasing NAV per share, just not growing for growth sake alone. To maintain our attractive per share growth rate and production reserves, we believe it’s extremely important that we focus our capital and people on the right projects. This is precisely the reason why we are aggressively pursuing sales of our non-core properties. Now that we’re producing over 350 million a day and our proved reserves are over 2 Tcf, at least our view we have sufficient size and scale to aggressively compete in all of our core areas. Lastly, we fully understand the key is continued execution of our strategy. Day-to-day, our team of professionals is focused on continuing to execute on our strategy and delivering attractive returns for our shareholders. As shown in the methodical building of our drilling inventory over a number of years, we will not sacrifice the long-term for the non-repeatable short-term gain. We’re fortunate we’re in a superb position to add materially the shareholder value in 2008 and over the next several years and we’re keenly focused on delivering. Finally, I’d like to publicly congratulate and thank our talented team of roughly 750 employees for a job exceedingly well done in 2007. We’ve set the bar high for 2008. I’m confident that with the talent, dedication, passion of the entire Range team, we’ll meet or exceed our goals for 2008. With that operator, I think that’s all of our prepared remarks. Why don’t we turn the call over to questions and answers.
Operator: Our first question comes from Nick Pope -  J.P. Morgan.
Nick Pope: I had a quick question, you were hitting on some of these infrastructure items in the Marcellus Shale.  I was hoping you could give a little detail on what really is going to be needed to bring the Marcellus gas fully to market?
John H. Pinkerton: Good question Nick. The play has historically been in Appalachia low-rate gas sand wells, and so there’s lots of infrastructure in terms of small pipelines in the basin.  But what we’re lacking are the larger systems.  So that’s what’s going to be needed, is building out some of these larger systems. Now the good news is, in most of the places where our acreage is, we already have smaller pipeline systems and infrastructure in place, so that we can test wells and we can put them on production and whatnot.  What we can’t do is just start full scale development in some of the areas where we’ve had some pretty decent success, and that’s what’s going to take some more infrastructure build-out. But the good news is, we’ve got a great team that’s working on it.  They’re diligent.  We’re making some really good progress on some projects and hopefully we’ll have some things to announce here over the next quarter or two that will give you some more insight in terms of some of the things we’re doing. That’s an operational perspective. Another question from a financial one, is how do we, and quite frankly the rest of the independents in the basin, finance all this infrastructure?  And I’m sure all the companies have their own views on it. Our view of it is, at least initially here, and it obviously could change over time, but at least I think where we’re coming out is that there are other companies that are quite frankly better, and that have a fair amount of capital, that can help us out in this project.  And so our theory is, at least again in the initial period here, is that we’re going to team up with some of these other midstream companies and try to keep as much of that capital off of our balance sheet and onto theirs, and really it’s pretty simple. We really want to put our capital into the drilling of the wells and we really think that’s what’s going to generate the highest rate of return for our shareholders.  So, I think that’s another big issue, and we thought about it a lot, and ran a lot of different numbers and whatnot.  And so that’s where we stand today.
Nick Pope: Thanks, that’s exactly what I needed.  Thanks, John.
Operator: Our next question comes from Jack Aydin - KeyBanc.
Jack Aydin: Jeff, you’re talking about 10 to 15 Tcf of potential reserve in the Marcellus.  What is your degree of confidence in those numbers, and how do you arrive at that level, and what makes you so sure that this is recoverable or achievable that kind of potential reserve booking?  So could you elaborate a little bit and give us some sense where you’re coming from?
Jeff Ventura: I’ll give you some sense to how we backed into those numbers, and again, and probably more from a 30,000 foot view than the actual specific numbers.  So let me talk more about data and methodology. But there are some 400 penetrations in the Marcellus in Pennsylvania before we started drilling, old well bores that had been drilled out or horizons, or old shale pits where you had log data and information and studies from those.  And on top of that, we’re currently at about 85 wells ourselves.  So we’ve got a lot of log data and the core data and production data and test data. So we arrived at it two different ways.  We started with looking at the data from our logs and cores to try to determine how much gas is in place, and that considers things like porosity, reservoir pressure, shale thickness, total organic carbon, reservoir temperature, amongst other things. So, taking all that data together and then volumetrically looking at it, we said how much gas is in place and then we applied to that a reasonable range of recovery factors in order to get the recoverable gas, and then of course netted it back to our interest, and that gave us a range of values. And then independently, we looked at based on the data that we have from our wells, and our oldest horizontal well now has been online about 190 days, and now we have several other wells that aren’t too far behind. And we looked at, using decline curve analysis, what might the ultimate recovery be per well, and given the gas in place numbers that we know for various spacing assumptions, we looked at what kind of recovery could you get from a certain spacing.  And then given various spacing assumptions, the amount of acreage we had, the amount of acreage we could drill, we backed into what reserves could be from that point of view also, and from that we calculated a range of reserves from low to high. Really if you go through that exercise, you can calculate numbers that are a lot higher than what we put out but we thought we’re very early in the play and given its enormous expanse and that we’re early, we put out what we thought was a conservative, reasonable range of reserves, and that’s the 10 to 15 Tcf number. Obviously a lot of upside for us, and we’re excited by what our team’s been able to accomplish so far.
Jack Aydin: Those wells, the horizontal wells and the vertical wells that you so far you drilled, could you give us a cost structure, what is your average cost per well for the vertical and for the horizontals?
Jeff Ventura: For the vertical wells, we feel that you can drill and complete a vertical well, I think the number that I put out on the last call was $850,000, in that range $800,000 to $850,000 per well. And for the horizontal wells, in a development mode, I think what I said last time is they should be somewhat similar to the Barnett, in that you’re looking at, at least in some areas, reasonable correlations to depth and completions and things like that, which would put you in a range of maybe early on, $2.8 to $3.3 million.  So call it roughly $3 million per well, drilled and complete, in a development mode.
Operator: Our next question comes from Ray Deacon - BMO Capital Markets.
Ray Deacon: I was wondering if you could talk about the decline curves on the existing wells that you’ve had online, the horizontal wells in the Marcellus.  Have the decline curves basically been in line with what you expected, sort of a 60 year first year decline rate, does that seem reasonable?
Jeff Ventura: Again, I’m going to answer it more from the 30,000-foot level due to the competitive nature of the trend and the fact that we’re acquiring acreage and talking to companies and doing all kinds of things. So, what I will say is obviously we released the rates and all of our rates are maximum 24 hour rates in the sales lines usually, and in a few cases against simulated reservoir pressure.  So you know what the initial rates are.  The oldest well’s been on about 190 days, and what I will say is, I’m very happy and pleased with performance so far.  But it’s early. I know what you want to get at is the shape of the curve and then ultimately reserves, and which leads to rates of return and all those kinds of things, and that’s what we’re going to keep tight at least for a while longer.  Since the acreage now is competitive, we got a great position.  We’re excited by it, but we’re still adding to it, and adding to it aggressively. So that’s sort of answering your question, but sort of not.  But hopefully you will understand based on what John said earlier, because we’re trying to capture the maximum value for our shareholders, which we all are shareholders ourselves, so we want to make sure we capture that before we disclose it.  In time we’ll put on great technical shows and tells with maps and cross-sections and logs and decline curves.  But it’s a little too early for that.
Ray Deacon: Got it.  Would you know the number from industry of horizontal wells that have been drilled so far?  Are you the only guys drilling horizontally at the moment?
Jeff Ventura: I can tell you what I know from scouting data and talking to friends at various other companies and things like that.  So I won’t guarantee you these numbers; these are just as I described, and I think probably the next most highest number of horizontal wells drilled from another company is probably three to four, and there’s a number of companies that are just starting their first, or are on one or two. And again, those companies I’m sure in time will disclose that data.
Ray Deacon: Got it. What in your view is going to be required before these midstream companies will be able to step up and make large investments in infrastructure, do you think? Is it a year from now, or more than that?
John H. Pinkerton: We’ve had a number of discussions with a number of them, and they seem very anxious to get in the play and very excited, and they see the real potential of it. And the good news is that the basin where it’s situated is a huge plus to the play in that it’s closest to the best gas demand market in the world. I think four of the six largest pipelines in the U.S. run through the basin. The macro part of the infrastructure is there. You’re located right and you’ve got some big pipelines already in the basin. The next step is really just building out, the gathering in the midstream side, and again, there’s a lot of midstream companies with a fair amount of capital that are interested. They’re all trying to get up to speed. They’re all trying to understand the play, they are all trying to understand the economics and again, we’re early in the play so there’s not a lot of statistical data, so you have to make a number of assumptions. But, we are very pleased with the input that we’ve gotten from those companies. In fact, we’re in discussions with a couple of them on a fairly serious basis in terms of doing something. So again, as those discussions turn into things that are actually agreed to and signed, we’ll obviously at that point in time then release that data to the public once we get there. On a scale of one to ten, I’m at eight or nine in terms of being pleased with the progress and at least what we’re seeing, from that side of the business.
Operator: Our next question comes from Kent Green - Boston American Asset Management.
Kent Green: There has been some comments by some similarly positioned companies that they still think acreage or acquisitions are attractive, particularly tight sands, unconventional, that kind of thing. So, with the company in such a strong financial position and low debt, do you think that you will be stepping up acquisitions or do you agree with that assessment or do you find that acquisitions in the areas of interest that you’re in too expensive so far?
John H. Pinkerton: Kent, that’s a great question and we look at our capital and we look at where the best places are to make the highest rates of return and we have from time to time made acquisitions where we felt that we were going to make good rates of return. I think we just completed an acquisition earlier this year and Jeff just mentioned couple of completions that quick like a bunny we went out and did. So we’re pretty pleased. But, again, I think we’ll be opportunistic when it comes to acquisitions. I think a couple things. One, they, if we do any, will be in our core areas. I think we’ll be highly disciplined like we have been in terms of pursuing those. And we really care a lot more about our stock price than our market capitalization. So therefore we’re really not looking for things that on an NAV per share basis get us bigger, but no more valuable on an NAV per share basis. We’ve really focused on NAV per share. In fact, the way that we’re compensated at the senior executive level, the two biggest components are reserves per share on a debt-adjusted basis and production per share on a debt-adjusted basis. So, doing acquisitions that might just make us bigger really don’t do much for us. Especially for the fact that we fully realize that as you get bigger, it’s harder to grow. So, to keep our double-digit growth profile in check we really need to be very careful. It also answers the question of why we’re doing asset sales; again, what we’re trying to do is, we’re trying to take capital or the more mature assets out of our portfolio, hand them down the food chain and then take that capital that we receive or that money that we receive and reinvest it into some of these higher rate of return plays that we have. So, it’s all a pretty central strategy and we’re just trying to build reserves and production on a double-digit basis at a low finding cost. If we can find a cheap acquisition – and there aren’t any cheap ones out there – but if we can find a really attractively priced deal we’ll pursue it, if not then we’ll just stick with our drilling and let that drop away. But the bottom line’s clear for Range, what’s going to drive our future growth is the assets we own today with the people that we have today. We’ve got big acreage inventory, big drilling inventory, some emerging plays that are quite exciting, so we’re really going to focus on that and not try to get too sporty, quite frankly, on the acquisition side.
Kent Green: Just one follow-up question on Appalachia.  While everybody is very enthusiastic about this particular play, wondered if you would comment about the environmental problems that you’re faced over there, it seems to be more prominent in some states than other ones. And two, whether you have oil service capabilities, if you’ve got fracing and that kind of stuff, when you start to work with the shales. And three, talking about midstream assets, processing plants, anything to get to this gas into the big Eastern markets more effectively?
John H. Pinkerton: I’ll deal with the service company issue and the midstream and I’ll let Jeff deal with the environmental one. But in terms of the midstream, I think I’ve been I think hopefully pretty open in terms of where we stand. There needs to be a fair amount of investment and at least from what we’re seeing is that there’s several companies that are very interested in doing that and taking it forward. So I think it’s just a matter of time. To me it’s just time and a little bit of money and getting after it and making it happen. In terms of the service company side, we were the pioneers of talking to the different service companies and getting them to move equipment up to the basin. And the good news is, is that we’ve got Mark Whitley on our team who came from Mitchell that helped really discover the Barnett. So he had lots of experience in terms of that so he was a big help in that, in talking to the service companies. Again, it’s happening and is it happening as fast as we’d like it? No, but it’s happening at a solid rate of speed and we’re reasonably satisfied with what’s going on. Again, I think it’s a self-fulfilling prophecy. As other companies continue to have some decent results in the play then I think you’ll see more and more of the service companies and also the midstream companies get involved with it. So I think it’s just a matter of time. It’s just a matter of them positioning the assets in places where they in turn can make the highest rates of return and the highest return on capital for their shareholders. So, again, I think it’s just a matter of time. It happened in the Barnett, it happened in the Fayetteville, it happened in the Woodford there is no reason at all why it’s not going to happen in the Marcellus. Jeff, you want to talk about the environmental?
Jeff Ventura: Yes. I would just say, remember, Range’s roots are in Appalachia, that’s really where the company was founded, we’ve been doing business there really since the late ‘70s. We drilled lot of wells up there; in the last few years we’ve drilled on the order of 600 wells a year in the basin. So, we’re an active driller, we’ve been there for a long time. We operate a lot of wells up there. This is our home turf. We have 2 million acres in the basin, 5,000 miles of pipelines and a real strong team. So, converting some of that to more shale drilling, the biggest issues, like John said, we’ve already addressed. It was bringing up some of the proper equipment, proper services, which we now have in place and filling it out with the midstream, which we’ll do this year. So, that’s our home turf, we’ve got a great team and I don’t see the environmental things as an issue. Not only do we want to be good stewards for our shareholders but we want to be good stewards for the environment as well and I think we have a good track record of that.
Kent Green: I wonder if you would comment on that, this spectacular rise in natural gas prices. I think near the first of the year I was with six sell-side analysts and all six said that gas prices weren’t going up. I was the only bull in the bunch and now of course Boone Pickett is out that says energy prices are going to go down and (inaudible) says gas prices are going to go up. So, I wondered if where you feel on this, particularly after this 37% rise of 681 at the end of last year.
John H. Pinkerton: I think in general, our view I think what we said at the end of last year is that over the long-term, at least I believe and I think the rest of our team believes is that energy is energy and that BTUs, people are going to pay competitive prices for BTUs, but what we’re seeing now at least the first time in my life is people are really starting to focus on which BTUs are the cleaner burning BTUs, and therefore which are going to be more environmentally sensitive over a long period of time. And where we are today is that over 90% of our transportation system in the U.S. is run by oil. So irrespective of that, oil is going to be a big commodity and it’s a worldwide commodity and if there’s factors in terms of demand from other countries now for the first time that really put us in competitive disadvantages when it comes to oil. That being said, that’s what’s driven up oil prices. On the natural gas side, I really think natural gas is going to be the hydrocarbon for the future over the next 10 to 15 years in terms of the U.S.  And what I mean there is that, one, it’s domestic. We have a lot of natural gas reserves still remaining in this country. That’s the good news. The bad news is they’re in things like these unconventional plays that takes a lot of capital and a lot of people working really hard to get that gas out of the ground. The second thing is that for a while there and it continues to trade at a discount on a BTU basis, compared to oil. So even if oil falls a lot, I think natural gas is going to have an upward bias just because it trades at such a big discount to crude oil. And that being said, I think there is lots of things I think happening in terms of natural gas and uses of that and electric generation and transportation generation of that, in terms of making all that happen. So overall we’ve seen upward bias on the gas side. With that being said, we don’t try to take huge positions either way. Where we really think people make money at Range is going to be whether we can take two Tcfe approved reserves and turn into five to ten Tcfe, three to five years from now. That’s the real reason why I’ve got all my money in Range and why everybody else around this table is fully invested in Range. Whether gas prices are 6 or they’re 10 or 12, will matter on the margin, but what’s really going to matter our shareholders over the long-term is can we turn this big bucket of potential that Jeff spoke about into something that ends up as proved reserves. That’s the real challenge here. And if we can make it happen, that’s going to drive the stock price up irrespective of whether gas is 6 or it’s 10.
Kent Green: Good answer for somebody who sees a lot of Ts ahead.
Operator: We are nearing the end of today’s conference. We will go to Rehan Rashid - FBR for our final question.
Rehan Rashid: On the Marcellus Shale side, did you mention how many horizontal wells you’re going to drill, Jeff, this year?
Jeff Ventura: We have 60 wells planned of which we said that 40 of those would be horizontal, of course and as we go through the year, that mix might change and if anything, probably will slide more towards the horizontal side.
Rehan Rashid: Got it. So while we’re building infrastructure we really can’t measure the cash flow impact.  From a new slow standpoint, just how do you plan to attack this? Are we to expect two, three well results at a time? Are you going to batch it up, any thoughts on that front?
John H. Pinkerton: I think Rehan what we tried to do, and whether we’ve accomplished that I’m not quite sure, but what we tried to do is to be relatively transparent in terms of what progress we have made. As we’ve drilled wells, quarter-to-quarter, we’ve announced the rates of those wells, whether they’re good, bad or ugly. The good news is that the recent horizontal wells have been fairly pretty, so that’s a better thing to announce. But you can remember, we announced our first few wells and then we rushed out vertical wells, then we rushed out and drilled three really stinky horizontal wells, which we announced. So we tried to be relatively consistent, relatively transparent in terms of that. The other thing I think is important is that, in terms of the acreage position, which is another fact that you could use, is that what we tried to do is provide not only what we own in the trend area, which I think Jeff mentions is 1.1 million acres, but really after what we’ve done is, what of that 1.1 million acres do we really think is prospective and we have narrowed that down to about 650,000 acres. Whether it’s Range or another company, not all of the acreage is going to work, and at times you’re going to condemn some and you are going to add acreage where we have had success, so what we have tried to give you there is, we’ve got 1.1 million acres, we’ve done some testing on a lot of that in terms of delineation, in terms of geology, and looking at other well bores and also looking at what other companies have done. So we narrowed that down to 650,000 acres. Now what’s going to happen over time, as Jeff mentioned, is we’re going to continue to do our delineation of wells that we did last year, we’re going to continue to do those so there will be acreage from time to time that we will put higher in the queue or lower in the queue. But again, I think that’s one of our competitive advantages is that when you’re the leader in the play, ahead of everybody, you have more of an ability to do that. And like I said, to make it relatively simple, the key here is going to be as quick as we can to try to figure out where Johnson and Tarrant County is, in terms of relative perspective, in terms of Barnett and if we can find the Johnson and Tarrant County per se, the first company that finds that will be the one that is obviously going to be the big winner in the play. That’s not to say that other parts of the play aren’t going to work. That’s why continuing to drill these delineation wells is really important, because we’ve got hundreds of land men running around like crazy buying acreage and leasing acreage. And where you place them and how you deal with that is critically important. So the delineation wells help you in terms of trying to figure out where the better areas are versus the poor areas and they are going to be that. This play is too big for all of it to be good and it’s too big for all of it to be bad. There will be good areas and bad areas and the key is just trying to figure all that out and obviously we are very early in the process, but the good news is that some of these areas that we drilled we’re actually very excited about and are convinced are going to be commercial and we’ll hopefully make some progress on the midstream side and like Jeff said that we’ll really start cranking up the volumes starting in 2009. So the last thing I would like to say about it is we’ve been working on this place since ‘04 and I really appreciate the patience that all of our shareholders have shown here in terms of us getting here. And the good news is that we’re knocking on the door and we’re very close. So it’s going to be a very exciting 2008 when it comes to the Shale play and also into 2009 when you’re really going to start seeing some pretty exciting production volumes that come along with that. So what you’re going to see this year is continued well results as we drill wells; we’ll keep you up-to-date in terms of some of the midstream things we’re working on and then hopefully later in the year, we’ll be able to start giving you some ideas of what we expect in terms of 2009, in terms of production rates and things like that. It’s going to be a transition year so-to-speak but it’s going to be very exciting though, because I think there’s going to be a lot going on and there’s obviously huge competition for acreage and services and everything else. So it’s going to be a very competitive but exciting environment.
Rehan Rashid: So you’re going to announce better results as they go along, basically.
John H. Pinkerton: Correct.
Rehan Rashid: Okay. And how many rigs drilling horizontal wells, Jeff?
Jeff Ventura: Three in the Marcellus and I know you’re focused on Marcellus and there’s a ton of upside there. But there’s also going to be good well results, I believe, coming out of the Barnett and coming out of Nora. Like I said earlier, we’ll have by the end of the year, I think we’ll understand the Huron Shale and Nora. That could be a T and a half, you can have a lot more information on the other horizons at Nora as well as our acreage in the Barnett, which it alone could by itself double the company. So, coming back, Range has a strong portfolio, good story. We’re talking about the big three, but there’s Granite Wash and other things behind that that are exciting as well. But I think we’re off to a great start and I think it’s going to be a great year.
Rehan Rashid: And if you were to take your whole reserve portfolio proven reserves today, what percent of that do you think you might ultimately divest?  Is there any particular percent you’re heading towards to shrink to refocus on the Marcellus side and then by when should we have a feel for the divestitures that might come along?
John H. Pinkerton: Rehan, we don’t have any really set percentage goals or anything like that. Alan Farquharson and some of our other guys that run our business units, just periodically look at their portfolio and we look at it pretty hard every day in terms of what’s meaningful, what’s not meaningful. And quite frankly, it’s just like the property we sold at the beginning of the year, it was hard to let that go away. That was one of the properties that Chad and I first bought when we really started Range. And it was a little shallow oil property in East Texas. But somebody came in and paid us $64 million and to give you perspective, our tax basis was $1.4 million, so a pretty good deal. And we’re going to have a pretty nice book gain in the first quarter on it. But again, while it was important back in the ‘90s, it’s not important in 2008. So that’s really the question is. And we’ll continue to do that, I think it’s just like any portfolio, whether it’s stocks or bonds or oil and gas properties. You have to constantly work it and you’re constantly trying to generate the highest returns and in the industry, at least my conclusion, we tend to hang on to properties too long. I think the more that you let those properties go, it simplifies your business, it allows you to have additional capital, so you don’t have to leverage up your balance sheet or run off and sell a bunch of stock. And it lets you fast forward the projects that are really going to drive your growth over the next two to three, four years, that’s what we’re doing. That being said, every asset of Range is potentially for sale including the entire company. So, this is the shareholders’ property, this is the shareholders’ company, we’re big shareholders, we’ve got big stakes in this company and so we’re going to do what’s in the best interest of the shareholders and the stock price.
Rehan Rashid: One quick question on the Barnett side, Jeff, Ellis County is an extension, any updates there, drilling a second well, when are we going to drill some more. Any thoughts there please?
Jeff Ventura: Let me give you a little update there. We’ve drilled our second well and the guys did a good job drilling it, getting it to TD, casing it, cementing it. We’ll be fracing it here in the first couple of weeks of next month, so we’re literally a couple weeks away from fracing it. And the good news is, so far we talked about the first well having good thickness, the second well has good thickness and even more than that looking at all the science that we did, we know not only does it have good thickness, but it has good gas content. One question as you get close to the faults and thrusts is there something with a gas leak out of it or whatever. And the answer is no. There’s good thickness, there’s good gas content and now the question is, what’s the rock property like and the rock properties actually look pretty favorable.  So now the question is can we go out there and put a good completion on it and make a good well. So, team’s done a good job I think of setting us up and putting us in a position. So it’ll be real interesting to see when we frac it and how it produces back. To the extent we get lucky in all our second try make a good well, then we’ll probably park a rig there for the rest of year and let it drill, if we don’t, we’ll go back to the drawing board and probably pause a little bit and come back and drill a third well and try again. But we’re making good progress. I think the project has a lot of merit and we’ll know a lot more probably that we’ll report on the next quarterly call.
Operator: Thank you. This concludes today’s question-and-answer session. I’d like to turn the call back over to Mr. Pinkerton for his concluding remarks.
John H. Pinkerton: I’d like to thank everybody for taking time out of a busy day to join us today. We had a terrific 2007, but that being said, we know that the bar is set very high for us for 2008 and we take that very seriously and we’re working hard and we look forward to another great year in 2008 and we know the pressure is on and we need to perform and execute our plan. The good news is though that we’ve got a great team of people and they’re excited about it and I think we’re in good shape and I really look forward to future calls this year and I think hopefully we’ll all be pleasantly surprised with the results. So, again, thank you and everybody have a great day.